Operator: Good afternoon. My name is Erica and I will be your conference operator today. At this time, I would like to welcome everyone to the Stericycle First Quarter 2018 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Mr. (sic) [Miss] (00:27) Jennifer Koenig, Vice President of Corporate Communication and Investor Relations, you may begin your conference.
Jennifer Koenig - Stericycle, Inc.: Hello, and thank you for joining Stericycle's first quarter 2018 earnings call. Joining on this call today are Charlie Alutto, Chief Executive Officer; Dan Ginnetti, Chief Financial Officer; and Brent Arnold, Chief Operating Officer. The discussion today includes forward-looking statements that involve risks and uncertainties. Our actual results could differ significantly from those described in such forward-looking statements. Factors that could cause the actual results to differ are discussed in the Safe Harbor statement in our earnings press release and in greater detail in Stericycle's filings with the U.S. Securities and Exchange Commission. Past performance should not be considered a reliable indicator of future performance, and investors should not use historical trends to anticipate future results or trends. To the extent permittable under applicable law, we make no commitment to disclose any subsequent revisions to forward-looking statements. On the call we will discuss non-GAAP financial measures. For additional information and reconciliation to the most comparable GAAP measures, please refer to footnotes and schedules in our earnings press release, which can be found on Stericycle's Investor Relations website. Finally, the prepared comments for today's call correspond to our first quarter earnings presentation, which is also available on our Investor Relations website. Throughout the call, we will be referencing specific slides from the presentation. I'll now turn the call over to Charlie Alutto.
Charles A. Alutto - Stericycle, Inc.: Thank you, Jennifer. Welcome, everyone, to our first quarter 2018 earnings conference call. We are off to a strong start in 2018. All of our service lines delivered solid top-line performance at or above plan. Related to our Business Transformation, we achieved the milestones and objectives that we set for the first quarter. As you recall, the transformation is focused on reconfiguring our operating model to more effectively manage the business and enhance shareholder value. In addition to the implementation of an Enterprise Resource Planning system or ERP, the transformation includes five key initiatives, which are summarized on slide 8 of the quarterly earnings presentation. As reflected on slide 9, we achieved approximately $8 million in recurring adjusted EBITDA transformation savings during the first quarter, resulting from the organizational restructuring last November, strategic sourcing initiatives and operational optimization projects. Our investments in the transformation totaled $22.1 million in the first quarter. We are on track to achieve our internal milestones for the transformation and remain confident in our ability to deliver $60 million to $65 million in expected adjusted EBITDA savings for 2018. Additionally, we selected our ERP system integrator and have built a dedicated internal team focused on the success of this important project. The team is finalizing the strategic blueprint for our target operating model and is now in a detailed design phase of the ERP system, which will continue through year-end. I'd also like to mention some important changes in our leadership. In March, Stericycle announced that as part of our continued evolution of the board, Robert Murley was appointed as Independent Chairman. We've also appointed two new executives. First, David Stahl, our Chief Information Officer, has been promoted to Executive Vice President in recognition of his strategic impact to the organization. We've also named Michael Weisman as Executive Vice President, Chief Ethics and Compliance Officer. We look forward to Mike's leadership in enhancing our global compliance program. I will now turn the call over to Brent to review our revenue performance results for the quarter.
Brent Arnold - Stericycle, Inc.: Thanks, Charlie. As reflected on slide 11, total revenues for the first quarter were $895 million, an increase of 0.3% from $892.4 million in Q1 2017. When adjusted for Manufacturing and Industrial Services, revenues were flat. As compared to the same quarter last year, acquisitions contributed $7.1 million to revenues, and the previously disclosed – and the previous announced divestitures of the UK patient transportation business and the South Africa Secure Information Destruction business reduced revenues by $10.8 million. Revenues for each of the service lines in the first quarter were as follows: Regulated Waste and Compliance Services, $497.4 million; Secure Information Destruction services, $219.9 million; Communication and Related Services, $91.9 million; and Manufacturing and Industrial Services, $85.8 million. This quarter, we closed nine tuck-in acquisitions, all in the U.S. Eight were in Secure Information Destruction and one in Regulated Medical Waste. These acquisitions contributed revenues of approximately $0.7 million in the quarter, with projected annualized revenues of $8.5 million. Regulated Waste and Compliant (sic) [Compliance] (5:53) Services revenues exceeded expectations. We continue to see solid performance across our Hospital Compliance Services. Additionally, our Retail Hazardous Waste services delivered strong growth in the quarter, driven by emergency response project work and the expansion of our medication disposal kiosks for retail pharmacies. As the U.S. continues to confront the opioid epidemic, more and more customers are turning to our medication disposal services. Secure Information Destruction Services also continues to perform well. Organic revenue growth in the quarter was 3.8%, or 4.8% when adjusted for lower pricing on recycled paper. While all sales teams performed well, the inside sales team is delivering exceptional results driven by the process improvement and automation implemented over the past 12 months. Communication and Related Services delivered another good quarter, with revenues in line with expectations, highlighted by continued automotive recall events in the U.S. and strong performance by our UK communications team. Manufacturing and Industrial Service revenues were up 2.6% over the same quarter in 2017, in part due to strong international activity. I will now hand it over to Dan, who will discuss our financial performance for the first quarter in greater detail.
Daniel V. Ginnetti - Stericycle, Inc.: Thanks, Brent. The results for the first quarter are as follows. As Brent discussed, quarterly revenues were $895 million, up 0.3% compared to the first quarter 2017, exceeding our expectations. Adjusted EBITDA was $189.3 million. This reflects strong revenue performance and lower than anticipated SG&A expenses. Our adjusted EPS was $1.21, versus the consensus and guidance of $1.05. As you'll see on the bridge on slide 14, the difference was based on the following: strong adjusted EBITDA contributed $0.06; depreciation, timing and interest and other income contributed $0.04; tax benefit unrelated to U.S. tax reform contributed $0.03; and accelerating the repurchase of the mandatory preferred convertible contributed $0.03. GAAP EPS was $0.25 due to certain non-reoccurring adjusting items. Cash flows from operations was $110.4 million inclusive of cash outflows for nonrecurring adjusting items, including Business Transformation. In March, the company announced amendments to the existing credit facilities, which will enable us to continue to make our planned investments in the business. I'd like to thank our lenders for their continued support of our company and Business Transformation. Our debt to adjusted EBITDA ratio under the amended covenant was 3.25 [times] at the end of the quarter. The unused portion of the revolver was approximately $635 million. In the quarter, we repurchased 151,900 shares of the mandatory preferred convertible for $7.4 million. And at the end of the quarter, we have authorization to purchase an additional 2.5 million shares. CapEx was $28.5 million, or 3.2% of revenues. Our DSO was 64 days. I will now hand it over to Charlie to go over our 2018 outlook.
Charles A. Alutto - Stericycle, Inc.: Thanks, Dan. Now for our updated guidance for 2018, which is included on slide 17. Please keep in mind that these are forward-looking statements. Our guidance is based on currently known items and does not include future items such as acquisitions or divestitures. Following the close of the first quarter, we believe annual revenue for 2018 will be in the range of $3.50 billion to $3.64 billion using current foreign exchange rates. The worldwide revenue guidance for each of our service lines is: Regulated Waste and Compliance Services will be in the range of $1.935 billion to $1.975 billion; Secure Information Destruction Services will be in the range of $875 million to $915 million; Communication and Related Services will be in the range of $355 million to $385 million depending on recall revenues; Manufacturing and Industrial Services will be in the range of $335 million to $365 million. We believe adjusted EBITDA will be in the range of $760 million to $810 million. We expect adjusted EPS will be in the range of $4.45 to $4.85 using a share count of $90.5 million. This reflects the conversion of preferred shares and an effective tax rate of approximately 25.5% to 26%. We believe cash from operations will be in the range of $510 million to $560 million, which does not include a payment for the previously-disclosed SQ settlement. We expect CapEx to be between $160 million to $180 million, and free cash flow will be between $330 million to $400 million. We will continue to maintain a disciplined approach to our capital allocation strategy as outlined on slide 19. Our approach allows for debt reduction and share repurchases, as well as strategic tuck-in acquisitions that expand our density and operational throughput. Long term, we expect our continued strong free cash flow will provide additional levers to enhance shareholder value. With a strong first quarter behind us, we are focused on delivering our 2018 plan and the successful execution of our Business Transformation. Our leadership in growing markets for Compliance Services and the expected benefits from the Business Transformation are positioning Stericycle for a significant improvement in operational and financial performance in the years to come. We remain confident in the long-term success of Stericycle. We look forward to providing you with more information on our progress after the second quarter. We'll now answer your questions. Erica, please open the line for Q&A.
Operator: And your first question comes from Ryan Daniel (sic) [Daniels] (12:55).
Ryan S. Daniels - William Blair & Co. LLC: Okay, guys. Thanks for taking the questions and congrats on the strong start to the year. Maybe a little bit more color on the EBITDA savings. Good to see that you achieved $8 million run rate. Can you talk a little bit more about what those savings were derived from? And then number two, just want to get your feel exiting four months of the year, how you're feeling about hitting the $60 million, $65 million in EBITDA savings, what your visibility is there.
Charles A. Alutto - Stericycle, Inc.: Sure. I think if you stack the order of where we got the savings from in Q1, the $8 million in savings and the $32 million savings run rate, they came from, obviously, the organizational restructuring that we did in November, followed by strategic sourcing and then the operational optimization projects. Those are the pillars we had outlined on the Business Transformation on the last call and also outlined in the presentation on this call. I think we feel confident around the $60 million to $65 million that we've slated in EBITDA savings for 2018. I think we have a pretty good line-of-sight of that. We've got to still execute on that remaining run-rate, but we feel really confident about hitting that number.
Ryan S. Daniels - William Blair & Co. LLC: Okay, great. And then my follow-up question would be you've spent some time last quarter talking about the investments you're making in the SQ segment in regards to more management capability there, some self-service, more marketing, account managers, et cetera. Can you provide a little bit of an update on how far along in those investments you are and if you are yet seeing any benefit from that/if there's any change to your pricing pressure outlook?
Brent Arnold - Stericycle, Inc.: Hey, Ryan. It's Brent. I'll take the first part of that and then Charlie can take the second part. But overall, the team made good progress with a number of initiatives. We now are covering more accounts with account managers. We've made some significant investments in promoting our brand and putting more marketing content out there about Stericycle being the market leader, about the thought leadership we offer and our Compliant Services. And then also, we continue to leverage our data analytics in helping us make better decisions about the offers we make to customers, which ultimately drives better long-term retention. So I would tell you that it's early, right, we just started on this a few months ago and we anticipate this being kind of level across all the quarters. But overall, I think the team's off to a good start.
Charles A. Alutto - Stericycle, Inc.: And I think I'll take the second part of the question, Ryan. We haven't seen – Q1 SQ pricing came in as expected. We haven't seen any change there, plus or minus in the number we've given out. That 130 number still holds through 2019.
Ryan S. Daniels - William Blair & Co. LLC: Okay. Perfect. Thanks, guys. I'll hop back in the queue.
Operator: And your next question comes from David Manthey.
David J. Manthey - Robert W. Baird & Co., Inc.: Hi. Good afternoon, guys. If we exclude acquisitions, divestitures and FX and assume about $10 million in SQ price concessions, it would look like the Regulated Waste and Compliant Services revenues were almost exactly flat this quarter. And when I look historically, the growth there was mid- or upper-single digits. And I'm wondering, could you talk about what you see is responsible for that growth delta that we're seeing today? And then maybe bigger picture, as you look forward, what do you see as the secular growth rate for this, your largest segment?
Daniel V. Ginnetti - Stericycle, Inc.: Yeah, I think what you're looking at right now is, David, I think we're looking at really year-over-year comparison. When you look at kind of the historic growth rates, those were primarily just U.S. LQ/SQ growth rates. And again, we've shared that those aren't really meaningful statistics anymore as we see more and more consolidation. So we've gone to an overall growth rate, and certainly that's been impacted now by the SQ price concessions. It's also been impacted by the exiting in the Patient Transportation contracts, by the divestitures in Patient Transportation, and the SQ business, so you've seen kind of the overall normalization. So within the range that we anticipated, I think we're pleased that we're in the upper half of the range, excluding some of those impacts of SQ and of Patient Transportation. The growth rate in the Regulated Waste was approximately 2%.
David J. Manthey - Robert W. Baird & Co., Inc.: Okay. But for the segment overall on a secular basis, what do you think it'll grow, once everything sort of normalizes and shakes out here?
Charles A. Alutto - Stericycle, Inc.: Yeah. We look at secular growth on that segment longer-term. I mean, total growth for the U.S. – I mean total growth for the company long-term we're looking at 3% to 5% compounded annual growth rate that was laid out in our Business Transformation. Everything specifically around Regulated Medical Waste would be flat to 2% growth depending on assumptions for SQ pricing.
David J. Manthey - Robert W. Baird & Co., Inc.: Okay. Thanks. And then, second question. If you were to divest, say, Communication Solutions and M&I and some low-density international markets, wouldn't the 20% to 30% smaller, less diverse business shorten the BTI timeline and lower the costs for you? And would that be something that would be attractive to you at this point?
Charles A. Alutto - Stericycle, Inc.: Certainly part of the criteria is looking at the ERP implementation across the service lines and geographies. I'm not going to comment directly on any given business line. We have a milestone, David, as you know, around 2020 in the U.S., 2021 international. So I think that would stay consistent. Certainly, if we got out of some businesses we could potentially de-risk the implementation and it certainly will have an impact on costs, but more to come on that. I think it's a little premature to speculate on that at this time.
Daniel V. Ginnetti - Stericycle, Inc.: Dave, I would just add to that. The work that we're doing in the Business Transformation today, the high-level blueprint and then the detailed design is really agnostic to the geography than the service lines we're in, so we're heading down the path, we've been making investments in the early stages that allow us to stay focused on that and have a longer-term vision of our portfolio rationalization.
David J. Manthey - Robert W. Baird & Co., Inc.: Very good. Thank you.
Charles A. Alutto - Stericycle, Inc.: Thanks, Dave.
Operator: And your next question comes from Sean Dodge.
Sean Dodge - Jefferies LLC: Yeah. Good afternoon. Thanks. Maybe starting with an update on Latin America. I think before you guys had alluded to some permits you were waiting for to modify some of your infrastructure there and take some cost out of the business, how big of a savings were or are those expected to be? And have those come through now?
Charles A. Alutto - Stericycle, Inc.: They haven't come through. I think, from a LatAm overall picture for us, Sean, I think I can say we had some pricing pressures there as well as we're unable to pass along some increases, especially in the higher-inflation market. I would say things have stabilized in Latin America. With respect to your question around the permits, there was a couple of million dollars in savings opportunity there. We folded those into the Business Transformation savings plans in 2018. We have not realized those yet but they will come later in the year.
Sean Dodge - Jefferies LLC: Okay. Very good. And then it looks like the courts issued final approval for the class settlement and some of the last items are being sorted out. Do you have any better visibility on when you're going to have to fund that?
Charles A. Alutto - Stericycle, Inc.: Yeah. I think with respect – actually, the court has not had a final approval yet. I'll give you the latest update on that. The court actually held a hearing today to resolve some of the remaining administrative issues. We expect, though, the judge will shortly issue a final judgment in the case approving the settlement. So it has not been formally approved as of yet. Once the judgment is issued, then the clock starts with respect to filing any kind of appeals. If there are no appeals, the settlement will become effective 30 days after that, and we'll make the settlement payments. So if you think through a timeline that could come as early as July. If an appeal is filed, the obligation to fund the settlement will not arise until after the appeal is resolved. So that's basically where we stand currently, Sean, on the SQ class action.
Sean Dodge - Jefferies LLC: Okay, great. Thank you.
Charles A. Alutto - Stericycle, Inc.: Thanks, John.
Operator: And your next question comes from Michael Hoffman.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Thank you very much. A housekeeping question. I'm not sure I understood the answer. If you take out all your divestments and the price in the RMW, you grew 2%. Is that what the...
Charles A. Alutto - Stericycle, Inc.: That is correct, Michael.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Okay.
Charles A. Alutto - Stericycle, Inc.: That's including the PTS (21:34) divestiture, the contract acres to the PTS (21:36), and the SQ pricing. In the Regulated Waste and Compliance Service line, that's correct.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Right. And then what was your paper rate year-over-year?
Charles A. Alutto - Stericycle, Inc.: If you looked at the average SOP pricing for this quarter, it was 160 (21:53) and the last quarter, it was 174 (21:55). That's why Brent gave you two numbers. We had a 3.8% growth. But if you exclude the impact of paper, we actually were close to 5%.
Daniel V. Ginnetti - Stericycle, Inc.: And that 174 (22:04) is the same quarter last year.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Right. And am I not correct, your budget for this year is 150 (22:10)?
Charles A. Alutto - Stericycle, Inc.: We've got a range. So 135 to 165 (22:14) is the range for both EBITDA and EPS.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Okay. And are we better or worse than the 1Q average starting 2Q?
Charles A. Alutto - Stericycle, Inc.: We are slightly better. But I just want to remind everybody, we were slightly better last year and paper prices came down that's why we've made no adjustment at this point to paper, but we are slightly better right now heading into Q2.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Okay. And then in the M&I, the growth you alluded to international, does that mean the domestic was down?
Charles A. Alutto - Stericycle, Inc.: No. I think the – slightly down to flat domestically but overall, up 2.2% organic growth.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: And then would this slightly down to flat be about you rationalizing some of the volatility as opposed to you suffering any – I mean, because the industrial markets that have reported so far have been very good. So...
Charles A. Alutto - Stericycle, Inc.: Yeah. It's more about us transitioning to the more of the small to medium-sized customers as opposed to the larger project work.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Got it. That's what I've got. Thank you very much.
Charles A. Alutto - Stericycle, Inc.: Thank you.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: One last question. One last.
Charles A. Alutto - Stericycle, Inc.: Sure.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: At the beginning of the year, you thought you would back end your performance relative to the earnings guidance now with $1.21. I mean, are we much more evenly distributed through the year?
Daniel V. Ginnetti - Stericycle, Inc.: Yeah. I would say we are more evenly distributed, Michael. I think that the thing that we saw in the quarter, there were certain things that happened this quarter that we don't see kind of replicating. For example, we had $0.03 additional above what we expected in the mandatory preferred convertible. Our overall year-end numbers still remains the same so we just accelerated that. We saw a little bit of benefit from tax in the quarter. We think some of that does flow through but that would be offset a little bit by higher interest as a result of our amended covenants. We saw some benefit from FX and acquisitions. We think that would flow through but what we also saw in the quarter is some of the benefit we expect in Q1 came from some retail hazardous cleanups, and we think those are projects that we had anticipated over two quarters that got accelerated. So in the quarter we saw some benefit that will flow through for the year but Michael, I think it's important as it's very early on, the business is absorbing a lot of change, the Business Transformation, that it's too early for us to really change guidance. We are pleased with the start, though, that we have for the year and that would level things out, I think, more to the rest of the year rather than back-end loaded.
Charles A. Alutto - Stericycle, Inc.: And I think from a Q2 EPS perspective, we'd be looking at between $1.08 and $1.18 as EPS for Q2, Michael.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Perfect. That's what I was hoping you were going to give us. Thanks.
Charles A. Alutto - Stericycle, Inc.: You got it. Thank you.
Operator: And your next question comes from Hamzah Mazari.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Hey. Good afternoon. I was hoping maybe you could address how we should think about risk around the transformation plan, specifically ERP cost overruns, over customization. Is that more of a 2019 event? And then maybe in conjunction with that, just any quick comment on morale at the company with all that's going on.
Charles A. Alutto - Stericycle, Inc.: Yeah. Thanks, Hamzah. I think let me take the time on risk first, then I'll talk about morale at Stericycle. I think there are two risks that we're keeping a close eye on. Certainly you alluded to it in the excessive customization of an ERP design. So we are taking an out-of-box approach, unless it's an area that truly differentiated Stericycle. And a lot of the things that we went through in mapping out an overview of the blueprint, things like plan to perform, account to report, market to quote, order to cash, collection to disposal, source to pay, and hire to retired is to make sure that we got those out of the way first. So when we start designing the ERP system, that will keep us on track. We don't want to replicate what we're doing today. We want to look at best-in-class, and certainly those mega processes that we worked on over the last few months is going to help us stay – to make sure that we stay within an out of the box approach on the ERP. I think the second risk, obviously, is trying to balance all the things that are going on with our senior leaderships, right? We got senior leaders, resources, deriving Business Transformation and the day-to-day business. So we're mitigating this by having dedicated and experienced Business Transformation teams and then supplementing where necessary with outside resources. And again, we're trying to mitigate that risk by having a lot of things that folks are focused on. I would say morale certainly is getting off to a good start in Q1. It is a way to address morale, obviously, we're coming off a tough year. But I think the strong start to the year, I think the team is really starting to hit their stride with respect to Business Transformation. We've hired a lot of new folks, and we've also got a lot of folks that have stepped up. I think we're in really good shape with respect to both internal resources and outside experts. And I think right now folks are feeling really good about the future of the company and our success for Business Transformation. But again, I think our strong first quarter certainly helps.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Okay. And then I guess you're reiterating your sort of medical waste pricing headwinds. You had called out $130 million and then $8 million sort of self-inflicted around data analytics. How much of that $130 million is still remaining? And then any data points you can share that gives you comfort that that $130 million number is not $200 million? Is it sort of you've re-priced the book of business? Is it customer conversations, legal suits behind you? Just any color around that.
Charles A. Alutto - Stericycle, Inc.: Yeah. I don't want to confuse the original $130 million with some of the investments we've said that we're making that has the EBITDA effect. So the original $130 million that we talked about, we feel confident about that number. That would roughly imply about $40 million to $45 million in 2018 and another $20 million in 2019. Right now it's on track. I think it's coming in as expected and that's been that way for several quarters. So we feel still confidence in that number. With respect to that, I think you're alluding to, is the additional investments we're making to have an EBITDA or EBITDA effect. Some of those investments were around marketing and branding and the account management team that Brent was talking about. Others are around changing behavior, whether we're holding back a price increase or not cross-selling, which leads to, obviously, less revenue and an EBITDA effect. So that's a little bit different than the discounting. But the overall discounting has come in as expected through Q1.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Okay, great. Just a follow up just for Dan, and I'll turn it over. Is the $22 million investment in Q1, is that all in CapEx or how much is in OpEx? Thanks.
Daniel V. Ginnetti - Stericycle, Inc.: Yeah. No, that was not – it was a virtually – maybe $400,000 was in CapEx. The rest was in OpEx.
Hamzah Mazari - Macquarie Capital (USA), Inc.: Okay, great. Thank you.
Operator: And your next question comes from Kevin Steinke.
Kevin Mark Steinke - Barrington Research Associates, Inc.: Afternoon. Dan, I think you mentioned that lower SG&A spending or lower-than-expected SG&A spending benefited the first quarter result. So is that just kind of delayed spending that we might see come back later in the year?
Daniel V. Ginnetti - Stericycle, Inc.: Yeah. I think the SG&A expense can be – was in part around benefits. Benefits can take a life of their own from quarter to quarter. We saw a little bit less in Q1 where we typically see a higher amount. So it was just a little less than we expected. We don't know whether that's going to move into Q2, so we're being conservative in making sure that we don't prematurely flow all of that through. We saw little bit of benefit in salaries or wages. Again, there was one extra day this month so we did need to go look through that to make sure that that's not going to flow through. We did see some benefit in the SG&A as a result of the higher revenue so that does benefit the percentage. And so we'll monitor that closely. Like I said, I think we're very pleased with the early start. Some of this is benefit that we anticipated. Maybe you'd see some of this in Q2 if that pulls forward. And so we're going to take a conservative approach on this and hold our guidance. We think it's the appropriate thing to do and really target Q2, like somewhere between $1.08 and $1.18.
Kevin Mark Steinke - Barrington Research Associates, Inc.: Okay. You also mentioned that you chose your SAP integrator. Can you just talk about what led you to that choice?
Charles A. Alutto - Stericycle, Inc.: Yes, we had a lot of great options there but we also ultimately decided on Deloitte as our system integrator. We feel confident that they will do a great job for us. We met with a lot of their senior leaders and we made the decision to go with them. Obviously, they have done a lot of these in the past and specifically in SAP. So we feel really good about them as our partner through this journey.
Kevin Mark Steinke - Barrington Research Associates, Inc.: Okay. Thank you.
Charles A. Alutto - Stericycle, Inc.: Thanks, Kevin.
Operator: And your next question comes from Jeff Silber.
Jeffrey Marc Silber - BMO Capital Markets (United States): Thank you so much. Wanted to focus on the medical waste side. I know you got the issues on the SQ side, you're making a lot of progress there. Can you talk about what's going on, on the LQ side? I'm just curious from a customer perspective in terms of demand, in terms of pushback on price increases, any color would be great.
Brent Arnold - Stericycle, Inc.: Sure, Jeff. This is Brent. I'll take that one. We continue to see really good growth in our additional services at LQ. Whether that's our Rx waste solution has really nice growth year-over-year. As we've talked about, our CsRx, that's where we help hospitals dispose of controlled substances in a compliant and secure way. It's kind of a turnkey solution where it goes to one of our incinerators that's DEA licensed, so a lot of our solutions in the hospital space continue to grow well, the team continues to come out with new solutions and we are really pleased so far with the growth.
Jeffrey Marc Silber - BMO Capital Markets (United States): Okay. That's helpful. And then just shifting gears a bit, you had the slide in the presentation where you talked about the adjusted EBITDA savings in the quarter and the investment you made in the quarter towards your goal at the end of the year. Can you just talk about the ramp up for the rest of the year? Is it front-end loaded, back-end loaded, is it going to be evenly distributed over the next few quarters?
Daniel V. Ginnetti - Stericycle, Inc.: Well, if you think about how the math works on it, it's relatively evenly distributed. And $8 million savings in the quarter gives you a full year effect of $32 million. So every quarter thereafter, you're only getting a partial year saving. So if you think about how it will happen, pretty ratably anywhere from $5 million to $6 million per quarter for the next three quarters in savings will get you in the range of about $60 million to $65 million which is the target that we had out there.
Charles A. Alutto - Stericycle, Inc.: And then on the spend, again, probably easily distributed. We had talked about spend this year, Jeff, of around $95 million to $105 million, and the $22.1 million would tell you, I wouldn't read anything into that number but it'd probably be evenly spent throughout the year.
Jeffrey Marc Silber - BMO Capital Markets (United States): Okay. That's really helpful. Thanks so much.
Charles A. Alutto - Stericycle, Inc.: Thanks, Jeff.
Operator: And your next question comes from Larry Keusch.
Lawrence Keusch - Raymond James & Associates, Inc.: Thanks. Good afternoon, guys. So I guess, Charlie, one question on the portfolio review that you guys are undertaking. I know that you're not going to speak specifically to anything that you're looking at, but I guess what I'm curious about is when that review is finished and decisions have been made, would you seek to then announce what you intend to do? Or to the extent that there was going to be a transaction, we would really just find out by seeing that transaction show up?
Charles A. Alutto - Stericycle, Inc.: Yeah. I think we learned a lot on the M&I front by being more proactive. And obviously, we've got team members who have to run the business day-to-day, I think we won't – I think when we make a decision and a sale is finalized, I think that's prudent at that point and obviously to communicate it. I don't think we'll preannounce anything, Larry. We'll look at it, but I think at this point we're not thinking that we're going to preannounce what the portfolio is going to look like. We may go through a process and make those announcements when we divested the asset.
Lawrence Keusch - Raymond James & Associates, Inc.: Okay. Perfect. And then two more, obviously, you've indicated that you've been tracking really well to that $130 million in SQ price pressure over the last several quarters. And in fact, you've really done a great job since you kind of outlined that number. But what are the events going forward that could pose some risk to that? I mean, I guess, one of them is, again, when the quarter proves this and news of that gets back out there. Perhaps there could be some additional pressure, but is that kind of the real obvious one in front of us?
Charles A. Alutto - Stericycle, Inc.: Yeah. That's correct. I mean, we've gone through the announcement of the settlement. We were watching it closely at that point. We didn't see any material impact on call volume at that point. We obviously – when the notifications went out in November through December, we didn't see any material impact at that point. And you're right, Larry, the last one would be when the checks are distributed or the cash is distributed. Certainly, we'll keep an eye on that. And like I said to I think it was Sean's question earlier, timing on that right now is not finalized yet. It could be as early as July. But if there's an appeal, it could go into some time next year.
Lawrence Keusch - Raymond James & Associates, Inc.: Okay. Got it. And then last one for Dan, just on the $0.40 range in the EPS guidance for the year, could you remind us sort of what takes you to the lower end of the range and sort of what happens to get you to the higher end of the range?
Charles A. Alutto - Stericycle, Inc.: Yeah. Let me – I'll take that one. I think there is basically six parts of our business from an upside and downside, if you want to look at it from that perspective. And SQ, we just touched on it, what happens with the uncertainty around SQ pricing. Business Transformation, our ability to hit the $60 million to $65 million. Paper prices, right now, we're looking at $135 million to $165 million, so $135 million at the bottom end of the range, $165 million at the top end of the range. Obviously, the global recall is a project-based business that will have variability on the EBITDA low and high. M&I project, a part of that business does have a project component to it so that certainly can impact it. And then lastly, international, as we've – over the years, we haven't been as consistent in that spot of our business, so certainly that can have some effect. Although it's not a big impact on the business, it could have some impact. So those are really the upsides and downsides related to the $0.40 or $40 million EBITDA.
Lawrence Keusch - Raymond James & Associates, Inc.: Great. Okay. Thanks, guys.
Charles A. Alutto - Stericycle, Inc.: Certainly.
Operator: And your next question comes from Isaac Ro.
Isaac Ro - Goldman Sachs & Co. LLC: Good afternoon, guys. Thank you.
Charles A. Alutto - Stericycle, Inc.: Hey, Isaac.
Isaac Ro - Goldman Sachs & Co. LLC: Hi. On the 2018 guidance, just kind of following up on the prior thought process here. For example, if I look at the tax rate you guys just printed, it was below where you guys are calling for the year. So can you help us think through any reasons why tax rate would go up? Because it looked like a $0.04 tailwind this quarter, and if I annualize that, that's a decent chunk of the path to the – at least midpoint in the range.
Daniel V. Ginnetti - Stericycle, Inc.: Yeah. I think the way we calculated, it was, in fact, a $0.03 tailwind. And I can take you through how I got there but I want to first answer your question as to why it wouldn't flow through. I think in the bridge that I gave, I do in fact do think about $0.02 of that will flow through. We think that rate will come up some. I would anticipate the overall rate for the year to have moved from what I gave you before of $26 million to $26.5 million to about $25.5 million to $26 million. And so I do anticipate a couple of cents would flow through, but also we – to offset that, we anticipate some higher interest expense as a result of the amended covenant that we went out with. So what's really driving that tax rate is really three things. First, in our rate, we did anticipate some slight increases to state rates. That's a very typical response to U.S. tax reform to offset some of the burden that they may feel from lower federal funds. We haven't seen that be legislated yet, although we do still anticipate that. We saw a small impact of slightly lower rates in Argentina, France and Belgium. And then the last component of that is that we were also favorably impacted by certain tax reserve and deferred tax-related adjustments. And so certainly, some will flow through, but again, early in the year there's other items such as interest that would offset that, that we just got cautious to hold that. The rate I would use going forward is in the range of $25.5 million to $26 million. That would imply probably close to a $26 million for Q2 and thereafter.
Isaac Ro - Goldman Sachs & Co. LLC: Okay, helpful. And then just a follow-up on the assumptions in the full-year guidance, it sounds like you're not assuming any impact from portfolio rationalization in the current guidance, is that correct? And then number two, should we still assume the ERP programs, the investment there doesn't really pick up until next year?
Daniel V. Ginnetti - Stericycle, Inc.: No, I think, first of all, there is no contemplation for portfolio rationalization and nor is there any consideration for future acquisitions either. That's something we never give guidance to. As far as the expenses associated with ERP, as you see, we had some themes in our adjusting items so that you can track very closely along with us our performance in that. And the savings that we're getting out of the early stages of Business Transformation are the $60 million to $65 million in the number. And then you see the majority of that savings is not going to transpire until we actually implement the system, and that's where 2020 will be the most impacted as far as the savings.
Isaac Ro - Goldman Sachs & Co. LLC: Okay. Helpful. Thanks so much, guys.
Charles A. Alutto - Stericycle, Inc.: Thanks, Isaac.
Operator: And your next question comes from Michael Hoffman.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Just a quick follow-up. The $5 million incremental in interest, was any of it in 1Q, or it's all 2Q, 3Q, 4Q?
Daniel V. Ginnetti - Stericycle, Inc.: That would be all in the future. Through Q2, Q3 and Q4, we were not in an enhanced interest-rate position in Q1. At the end of the quarter we were at 3.93%, so that will have an enhanced interest that will begin to kick in through the second quarter. So we do anticipate a slight uptick and through Q1 and Q2 and in the remainder of the year. But Q1 we did not have any additional interest, and that's why we were slightly below it. I think the other thing that factors into that is we have contemplated throughout the year increases in LIBOR built in, and so that will increase some of the interest rate throughout the course of the year as well.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: And just so I'm clear I understood the puts and takes, tax helped $0.03 in 1Q. There's another $0.02 for the remainder of the year because of the lower rate. So that's $0.05, and you're offsetting it with about $0.05 from interest expense.
Daniel V. Ginnetti - Stericycle, Inc.: No. Let me take you through it a little bit slower, Michael, just to make sure everybody's on the same page, and this is for the guidance going forward. We do anticipate about $0.02 of tax favorability that would be offset by about $0.02 of interest. We anticipate that the foreign exchange and acquisitions combined would generate about $0.02 of favorability. With that though, we're going to hold tight on our guidance, so in essence we're taking that savings, just holding tight and making sure that it materializes throughout the course of the year.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Okay. So all things being equal, you're slightly ahead of the midpoint based on that commentary and how you did in the first quarter?
Daniel V. Ginnetti - Stericycle, Inc.: Yes. I would say, factoring in also the EBITDA performance that we think some came from Q2. I would put us just a couple pennies, $0.02 to $0.03 above the $1.05 guidance that was out there if you netted it all down. The rest is kind of more of a timing element.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Got it. Okay. All right. Thanks.
Charles A. Alutto - Stericycle, Inc.: Thanks, Mike.
Operator: And your next question comes from Scott Schneeberger.
Scott Schneeberger - Oppenheimer & Co., Inc.: Thanks. Good afternoon, guys.
Charles A. Alutto - Stericycle, Inc.: Hey, Scott.
Scott Schneeberger - Oppenheimer & Co., Inc.: Hey, could you just address Communication Services, just give us a little bit – a deeper layer on what's occurring in the business, maybe by geography, maybe by just how you think that's progressing and when we can get some inflection on that perhaps? Thanks.
Charles A. Alutto - Stericycle, Inc.: Yeah. I think when we think about Communication and Related Services, which is your question. It was a little faded there. But from a geography standpoint, a majority of that business is in the United States and we do have some operations in Canada and Europe. But the majority, I mean, 85%-plus of that business is U.S.-based. If you're talking about specifically what's driving it, I mean obviously recall trend, Q1 came in as expected. Recall is obviously – this is a project driven business, but we're really – we feel really good about that business. We've had six now, maybe seven strong quarters in a row. We continue to see an uptick in automotive recalls. I think Brent talked about it in his opening comments. And it's not just related to one event. I think we're gaining trust and confidence of the OEMs, and we're there expanding our capability. I think we offer a unique service into the automotive sector, both with our voice and our technology, so the team has really done a good job there. And obviously, we're coming off two very strong years, even our guidance contemplates being down around 7% to being slightly higher than flat. But that's more related to the fact that the business has come off some really strong quarters and two strong years.
Scott Schneeberger - Oppenheimer & Co., Inc.: All right. Thanks. Appreciate that. And apologies for the weak connection here. Just one follow-up, kind of two pronged. The acquisitions in the quarter, another nine, so you seem active there. If you could perhaps share some of the detail about what's occurring there. And then the follow up to that is how active are you with regard to looking at strategic alternatives, divestitures? I'm just trying to gauge a sense of urgency and resource allocation. Thanks.
Charles A. Alutto - Stericycle, Inc.: Sure. I think from an acquisition standpoint, you said it, we had an active quarter. We had nine acquisitions, eight in the Secure Information Destruction space and one in Regulated Medical Waste. They were entirely in the U.S. We continue to focus on strategic tuck-in acquisitions. And we also, when we look at acquisitions, we want to make sure that we're not going to add in any difficulty on the ERP, meaning we're doing deals where we can put them on existing systems. We don't want to add any systems as we're going through Business Transformation and ERP. As far as activity around portfolio rationalization, it's one of the pillars in Business Transformation, so there's urgency on Business Transformation and a focus on Business Transformation, including portfolio rationalization. As we said earlier, I think we're continuing to make progress on evaluating all the lines of businesses and geographies and we're sticking to that financial and business criteria that we laid out on the call in February.
Scott Schneeberger - Oppenheimer & Co., Inc.: Got it. Thanks very much.
Charles A. Alutto - Stericycle, Inc.: Thanks, Scott.
Operator: And there are no further questions at this time.
Charles A. Alutto - Stericycle, Inc.: Thanks, Erica. Before closing today, I'd like to take a moment to recognize Jack Schuler. Jack is one of Stericycle's founders and has been a member of the Board of Directors since 1990. He has been a visionary and a trusted advisor to the company through all of its stages of growth and evolution thus far. Jack is not standing for re-election at the upcoming Annual Shareholders' Meeting. Jack, we'll miss your guidance, experience and counsel, and we truly appreciate the positive impact you've had on our company. And on behalf of the entire Stericycle family, I'd like to sincerely thank you for your many years of service and support. Thanks, Jack. Well, thank you, everyone, for joining us on today's call. Have a great evening. And we'll see everybody out on the road soon. Take care.
Operator: Thank you. And this concludes today's conference call. You may now disconnect.